Operator: Good day, ladies and gentlemen, and welcome to the Q2 2019 Fulgent Genetics Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Ms. Nicole Borsje from Investor Relations. Ma'am, please go ahead.
Nicole Borsje: Great. Thank you. Good afternoon, and welcome to the Fulgent Genetics Second Quarter 2019 Financial Results Conference Call. On the call today is Ming Hsieh, Chief Executive Officer; and Paul Kim, Chief Financial Officer. The company's press release discussing its financial results is available on the Investor Relations section of the company's website, fulgentgenetics.com. An audio replay of this call will be available shortly after the call concludes. Please visit the Investor Relations section of the company's website to access the audio replay. Management's prepared remarks and answers to your questions on today's call will contain forward-looking statements. These forward-looking statements represent management's estimates based on current views and assumptions, which may prove to be incorrect. As a result, matters discussed in any forward-looking statements are subject to risks, uncertainties and changes in circumstances that may cause actual results to differ from those described in the forward-looking statements. The company assumes no obligation to update any of the forward-looking statements it may make today to reflect actual results or changes in expectations. Listeners should not rely on any forward-looking statements as predictions of future events and should listen to management's remarks today with the understanding that actual events, including the company's actual future results, may be materially different and what is described in or implied by these forward-looking statements. Please review the more detailed discussions related to these forward-looking statements, including the discussions of some of the risk factors that may cause results to differ from those described in these forward-looking statements contained in the company's filings with the Securities and Exchange Commission, including the previously filed 10-Q for the first quarter of 2019, which is available on the company's Investor Relations website. Management's prepared remarks, including discussions of earnings and earnings per share contain financial measures not prepared in accordance with accounting principles generally accepted in The United States or GAAP. Management has presented these non-GAAP financial measures because it believes they may be useful to investors for various reasons, but they should not be viewed as a substitute for or superior to the company's financial results prepared in accordance with GAAP. Please see the company's press release discussing its financial results for the second quarter 2019 for more information, including the description of how the company calculates non-GAAP earnings and earnings per share and a reconciliation of these financial measures to income and incomes per share, the most directly comparable GAAP financial measures. With that, I'd now like to turn the call over to Ming.
Ming Hsieh: Thank you, Nicole. Good afternoon, and thank you for joining us on our call today to discuss our second quarter 2019 results. I will review the highlights from the second quarter before Paul discusses our financial results and our growth in detail. We had a second quarter easily achieving quarterly results for both test volume and the revenue. At the same time, we found equal and equal margin and achieved a record cost per sale which should lead to very good and GAAP profitability in the quarter. Essentially revenue grew 56% year-over-year to $8.4 million. Billable test increased 187% year-over-year for new record high of 16,369 far exceeding the [indiscernible] of last quarter for at least 10,000 tests. With the strong warning, we have now reported more tests in the first half of 2019 than we created in all of 2018. Our GAAP was $515. Our ASP was $515 down from the 8% compared to the first quarter of 2019. However, it was offset by the record low cost of protest of $251 which was an improvement of 44% compared to the first quarter. The lower ASP continued to count on product mix volume and efficiency which will be discussed further in a moment. Non-GAAP gross margin in the second quarter was 69% up approximately 330 basis points from the second quarter last year and up approximately 4% sequentially. GAAP income was $331,000 and non-GAAP income was $1.2 million. Non-GAAP earnings per share was $0.06 in the second quarter. Adjusted EBITDA was positive $1.5 million in the second quarter. The strong growth was demonstrated in the second quarter, were achieved of ongoing traction we're having in the breadth of our offerings across our volume customer base. And with our collaboration agreement, the majority of growth in a test volume that we saw this quarter was driven by demand from our core clinical business increasing level of momentum with our core test. Well, our reproductive health and service for sequencing and research data analyzed continues to work. The large warning tests were able to essentially in the quarter, demonstrate how our investments in technology capabilities and infrastructure kind of set us up for future success. In addition to the strong one for the opportunity in this quarter, we are pleased with the leverage we saw in our business, which resulted in that capacity. We saw a meaningful improved margin result from our input costs per test which benefited from scale, automation and efficiency with writing wall. Our comp protest is good from start with the conversation was a record low of $200,011. We believe this enable us to serve more opportunities, as well as we think with advantage to compare in any environment. We also saw great leverage with operating expense, generally warning and revenue with a minimum incremental sales and overhead costs. As we have discussed in the past, we have invested meaningfully in our technology, infrastructure and talent in the last few years to create a scalable business capable of handling higher warning. Now that we are capturing foreseen quarter inquiry we're pleased with our ability to reduce this demand in an efficient manner without having to opportunity, operationally to learn more to achieve these results. The market for the next-generation sequencing and a generic text is a large and growing. We are uniquely positioned to capture this market share with our differentiated technology and approach. The collaboration agreements that we have continued to announce demonstrated that organizations and institutions when you are our outing because of our unique technology and ability of a wide range of customized tests that meets individual needs. And with the flexibility of our offering, partners are able to better leverage our sequencing capabilities to deliver more informed and extra care for their patients -- attending patients. Another example of a partnership agreement that we have announced. This was with the Parkinson Foundation. The foundation was looking for a genetic testing partner to help them with a nationwide initiative that we will launch to provide the eligible individuals with a genetic test for clinically relevant to Parkinson related G. After a competitive process, the foundation select a partner with Trojans, because we offer the best customer solution and the overall value for the organization. We'll become into product processing, sequencing, analyzing and then storing each DNA samples for the patients in the initiative. In addition to supporting the individual test, we were able to use the data that we got in to assist Parkinson Foundation, new research and development of new treatments for the disease. We are finding ongoing dialogue with a number of other large organizations and institutions for potential future collaboration. And we are pleased with the diverse scope and geographical reach that we are seeing with this opportunity. To increase the number of opportunities that we are seeing is a testament of our work to pure technology capabilities and our ability to offer partners flexible and accountability effective solution. We believe this type of partnership will continue to drive momentum of our business. We also have exclusive several collaboration agreements with our sequencing as a third business with the words of biopharma and the research institution and that we expect to see revenue from this collaboration in the second half of this year. Moreover, they have made additional programs of our reproductive health care and intuitive introducing new offerings to the market in the later part of this year. We have one more recent highlights to discuss. Last week, we were very excited to announce that we have received the approval from New York State Department of Health for NGS healthy in the state of New York. This approval is an authorized zip coding to cheap and that we are pleased that we have a process and approach due to a rigorous standards set by the states. A testament to our technology. They've expand our presence in and out either U.S. and open up additional opportunities for collaborations with our partners and institutions in New York. Finally, we're pleased to welcome Linda Marsh to our board of directors, which we announced in a press release this month. We are excited to have Linda joining us. Her knowledge and expertise in the healthcare industry, government relations, analyst in person will bring great insights to our board. We look forward to working with Linda in the years ahead. In summary, we had a very strong start to the year and as we look ahead, the rest of 2019 we feel comfortable in our market position and opportunity. We have a very solid pipeline to fill up. And we expect to continue these strong test of wanting growth and profitability in the quarter ahead. I would like to now turn over the call to Paul to provide details on our financial performance in the second quarter. He will also provide an update on our financial outlook for the full year 2019. Paul?
Paul Kim: Thanks, Ming. Second quarter revenue totaled $8.4 million and increased by 56% compared to the second quarter of 2018. While our international business remains stable, our U.S. business has continued to be a significant driver of our momentum. Revenue from the U.S. grew 103% year over year in the second quarter, accelerating from 43% year over year growth in the first quarter of 2019. Revenues from the U.S. represented 79% of total revenue in the second quarter up from 67% in the first quarter. Billable tests reached a new record high of 16,369 in the second quarter, growing 187% over Q2 of last year and increasing 117% from the first quarter of 2019. Our average selling price was $515, down from the first quarter as a non-pediatric business represented the majority of revenue in the quarter. While our ASP has declined due to product mix the costs associated with these tests have continued to decrease proportionately at a greater speed -- at greater pace as we scaled. Cost per test for the quarter was a record low $221 and on a GAAP basis and $211 excluding equity-based compensation of $167,000. We are pleased with the improvements we've seen in our corporate tax which has increasingly benefited from operational efficiency, higher-touch volume, better productivity, and the use of our proprietary technology including probe. The leverage we've generated from a lower average cost per task has resulted in a meaningful improvement and our gross margin. Non-GAAP gross margin improved 12 percentage points, sequentially and 330 basis points year-over-year. We expect that we reach the new normal with quarterly test volumes while exceeding 10,000 plus per quarter. And this volume we expect that our gross margin should remain strong in the coming quarters. Now turning to operating expenses, we remain committed to managing expenses while investing in for future growth. Our top-line outperformance this quarter resulted in the first positive operating margin that we've seen in over 2 years. Non-GAAP operating margin was 12.3% in Q2, an improvement of more than 20 percentage points year-over-year and 35 percentage points sequentially. We will continue to see quarterly fluctuation in that figure in the near term as we scale. Sales and marketing expense in a GAAP basis was $1.3 million in the quarter. Flat was what we saw in the first quarter. R&D expense in Q2 was $1.6 million up slightly from $1.4 million in the first quarter. We continue to invest in all areas of R$D from engineered chemistry to comprehensive analytics powered by artificial intelligence and machine learning to the speed of development for our next product and service offering. Our results this quarter demonstrate that we have the ability to be aggressive in our R&D investments while still maintaining a business model that demonstrates in proving leverage over time. Lastly, total D&A expense was $1.6 million up from $1.5 million in the first quarter. Total GAAP operating expenses were $4.5 million in the second quarter up from $4.2 million in the first quarter. Non-GAAP operating expenses totaled $3.9 million up from $3.8 million in last quarter. For very quick we've been able to demonstrate strong momentum on the top line while only marginally increasing expenses. A testament to the long term sustainability of our model and shows the discipline we've had in building our business is finally paying off. Adjusted EBITDA for the second quarter was a positive $1.5 million compared to the $99,000 in the second quarter of 2018. But on a non-GAAP basis and excluding equity-based compensation expense, income for the quarter was $1.2 million or $0.06 per share on 19 million weighted average common shares outstanding. The effective tax rate at the end of the second quarter was a benefit of 1%. And non-GAAP tax rate was zero due to full valuation allowance recorded earlier this year. Now turning to the balance sheet. We generated strong cash flow in the second quarter on a strong result. Cash provided by offering activities was approximately $675,000. Now that we reach profitability, it's our intention to generate cash from operations during each reporting period. We ended the second quarter with $38.7 million in cash, cash equivalents and marketable securities with no debt. This equates to $2.03 and cash, cash equivalents and marketable securities per share. Now moving on to outlook. As Ming discussed, we've seen strong momentum across our business and we expect test volumes to build through the end of the year. Given the outperformance, we demonstrated in the second quarter, as well as the confidence we have in our pipelines for the second half of the year and our growing network of partnerships, we're raising our full year revenue guidance. We now expect revenues for the full year to be at least $21 million, which represents a year-over-year organic growth of approximately 40%. We also remain focused on inputting leverage while inducting for growth. While we're pleased with the positive operating margin and net income that we generated, we may see new term fluctuations and profitability. We remain confident in our ability to demonstrate sustainable gap profitability for the end of the year. We're excited about the momentum we've been seeing and the opportunities ahead for Fulgent. The results we demonstrated this quarter validate that our technology and operational differentiation and approach to the market are sustainable in the long term and is growing in a competitive environment. We look forward to continuing on this momentum in the second half of the year. Thank you again for joining our call. Operator, now you can open it up for questions.
Operator: Thank you. [Operator instructing] Ladies and gentleman, if you have a question at this time, please press star, then the number one key on your touch tone telephone. If there's a question to be answered or you wish to remove yourself from the queue, please press the pound key. The first question is from Erin [ph] from Credit Suisse. Your line is open.
Unidentified Analyst: Great, thanks. Can you think of some of the key factors that drove that sizeable acceleration in volume in the quarter, were there any of your new partnerships or collaborations that were notable, meaningful, contributor or were there sort of timing factors that we should be thinking about in terms of the quarterly progression? Or do you think this is sort of you hit it longer terms of inflection point here? Thanks.
Paul Kim: Erin, thank you for the question. We have several collaborations, the partners which contributed to the significant month revenue for this quarter, and we continue to expand our reach for more than our new partners who will join us and continue [indiscernible].
Ming Hsieh: Erin, as you very well know, we made a significant expansion in the product and the service offering that we had over the course of the last 12 months, whether it is in the area of cancer or reproductive health. It's bad for the market that we do have those capabilities. The second thing is what the new sales organization is to accept what they had forming these long-term collaborations and partnerships that take time. The other thing that we've done is because we need a calibration of our operations. We made the pricing in this very competitive environment, competitive. Whether it be service offering, the result of the test, the quality of the test, the turnaround time, the price, we made all those things available and we believe that's what's causing the inflection point. As far as sustainability, we feel confident based on the pipelines that we see, an attraction that we have with this collaboration agreements, for us to be confident about raising our outlook for the year. We believe that the second half of the year is going to be even more successful than what we achieved in the first half of the year.
Unidentified Analyst: Okay, that's really helpful and you've clearly seen some of the leverage here with the building volume, but I did want to ask on the ASP front and I think you just mentioned some of that, but how much of that was a proactive effort versus test mix, in terms of the decline in the ASP? This was a little bit lower than we were expecting, but clearly you've seen the leverage there on. I'm curious what the dynamics were from the ASP perspective, in that we should kind of continue going forward or how should we be thinking about that?
Ming Hsieh: Erin, thank you for this tough question. Everybody worries about the declines in the ASP, I think the struggle with the ASP is the proactive act from our end as response to market change in the industry. You haven't seen some of our competitors have been lowered that they're caused [indiscernible]. Regardless, they're losing money. From our end, efficiency of our cost reduction will light the share some of the success with our partners, so we've lowered our cost and made our product more competitive. But we are not loyal that the cost will amplify the quality. We reduced our turnaround time and we increased our volume and also we lowered our cost. I think our partner will respond to some marketed net and provide services if the industry is looking for. If we take a look overall after we continue in cost reduction, in terms of cost from our side, we continue to invest in technology, use of artificial intelligence and make more automation for the entire process. So we could exceed this market and contribute to anybody.
Unidentified Analyst: Okay, that's helpful, thank you.
Operator: Your next question is from Bill [ph]. Your line is open.
Unidentified Analyst: Great, thanks and good afternoon. A couple of questions. With respect to the volumes, is there any way to break out what the new lower ISPs did in terms of driving some of that volume, as compared with same store sales with existing customers as an example?
Paul Kim: Bill, as you probably know, our tests are designed pretty inflexible, so almost every test that comes in is cut fund in our workflow. We couldn't track that much in terms of coming of what tests. But overall, our tests are a combination of clinical, our collaboration tests and the research sample, they are all mixed together.
Unidentified Analyst: I see. Okay, then maybe a good point asking the question would be, is there any way to talk about the volume growth from new customers or existing customers?
Ming Hsieh: For this quarter, the majority of our tests, we see that that's the area that provides the most increase. But some of the quarter, if you recall the last few quarters they are strong in terms of reproductive screening tests, but this quarter comprised of tests [ph].
Unidentified Analyst: I see. I guess one for Paul, the guidance implies that the third and fourth quarter raise the lower end guide at the $21 million so that you have the slight sequential decline in revenue, and I guess I'm curious why we would see a scenario like that given the really nice momentum you're seeing in volumes? And separately, perhaps from Ming, an update on the latest with respect to your China venture.
Paul Kim: Bill, we got in the first half of the year close to $14 million in revenue and I think what you're commenting on is if we get $14 million and if you're guiding to $29 million, doesn't that equate to sequential decrease of sales. But surely the answer is no, we don't anticipate that that's going to happen. Based on what we see, we think that this business will continue to grow in each of the quarters that we have for the year. And that's the reason why we said the guidance is at least $29 million, so we certainly expect internal of the company, that our overall business will be greater than the $29 million, but we are being very cautious because we missed estimates during the past couple of years and we certainly don't want to do that going forward.
Unidentified Analyst: Understood, thank you. Ming, just the question on the latest with respect to China venture.
Ming Hsieh: Yes, thank you Bill. For the China venture, we threw a couple for rebuild period. This year as seen from our financial results, the loss has been narrowed in China for operations. We continue seeing growth and new opportunities arise in our China venture and we're looking forward to 50 years of sales in China in this year. Or however, as you may know, last year's revenue was a $1.5 million, but this year we're expecting a significant increase in that market. The GP in China in major institutions to start their clinical tests and the business will grow. Last year was a single, this year was a growth.
Unidentified Analyst: Okay, got it. Thank you very much, guys.
Operator: I am showing no further questions at this time. Ladies and gentleman, let's conclude today's conference, thank you for your participation and have a wonderful day. You may all disconnect.